Operator: Good morning, ladies and gentlemen and thank you for standing by. Today’s call is being recorded. I’ll now turn the call over to Sean Fitzgerald, VP of Tax of Liberty Latin America.
Sean Fitzgerald: Good morning and welcome to Liberty Latin America’s first quarter 2025 investor call. At this time, all participants are in listen-only mode. Today’s call presentation materials can be found under the Investor Relations section of Liberty Latin America’s website at www.lla.com. [Operator Instructions] As a reminder, this call is being recorded. Today’s remarks may include forward-looking statements, including the company’s expectations with respect to its outlook and future growth prospects and other information and statements that are not historical facts. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America’s most recently filed annual report on Form 10-K and quarterly report on Form 10-Q, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Sean, and welcome, everyone, to Liberty Latin America’s first quarter 2025 results presentation. I’ll begin with our group highlights and an overview of our operating results by credit silo. Chris Noyes, our CFO, will then follow with a review of the company’s financial performance. After that, we will get straight to your questions. As always, I’m joined by my executive team from across our operations. I’ll invite them to contribute as needed during the Q&A, following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. Starting on Slide 4 and our highlights for the year. In the first quarter, we added 44,000 broadband and postpaid mobile subscribers in total. We saw notable progress on postpaid mobile in Costa Rica as well as across our Caribbean operations. Our broadband and postpaid strategy remains underpinned by our fixed mobile convergence efforts across the group. In our most successful markets, FMC penetration is now over 30%. This is driving a lower churn and a more predictable revenue profile. We reported group adjusted OIBDA rebased growth of 8% year-over-year in Q1. This was driven by double-digit growth in C&W Caribbean and C&W Panama, contributing to a very strong performance for our C&W silo. Our cost management efforts created a flywheel in driving margin expansion across the company. At the full year results, we discussed an outlook for lower capital intensity across the group in ‘25 and ‘26, and we are starting to see this coming through as well, with lower P&E additions in Q1 than prior year’s period, driving growth of adjusted OIBDA, less P&E additions of 20% year-over-year. Turning to Slide 6, I’ll begin our operating review with our Cable & Wireless credit silo, which had a very solid quarter. Our C&W credit silo is composed of C&W Caribbean, C&W Panama and our Liberty Networks segment. Looking first at C&W Caribbean where we delivered good operating momentum and very strong financial execution. Starting on the left of the slide, with our subscriber additions, having been negatively impacted by Hurricane Beryl during the last two quarters of ‘24, primarily in Jamaica; in Q1, we saw a return to growth as we begin to add back fixed broadband RGUs. In mobile, we continue to drive a positive postpaid performance in Q1, adding 15,000 subscribers. C&W Caribbean represents a proof point of the successful execution of our FMC strategy with strong KPIs being delivered alongside a 4 percentage point increase in FMC penetration year-over-year to over 35%. We are also launching loyalty programs across the region with the goal of reducing churn by rewarding our long-term customers. Moving to the center of the slide and our revenue by product, the pie chart depicts the well-diversified nature of C&W Caribbean’s revenue with consumer fixed and B2B the largest elements followed by consumer mobile. Across C&W Caribbean, market structures are constructive as we primarily compete in duopolies where operators are rational and focused on the customer. Year-over-year rebased revenue growth was muted in the quarter, partly due to lower B2B project revenue, but we continue to steadily grow our aggregate broadband and mobile service revenue with 3% year-over-year rebase increase in Q1. Our focus on productivity, network efficiencies and cost of goods sold has increased operating leverage. Chris will cover the very strong cost management in the Caribbean, which led us to report a record adjusted OIBDA quarter. Moving to Slide 7, and our C&W Panama segment. Starting on the left of the slide, we continue to see fixed growth in the first quarter, adding not just broadband additions, but also video and voice. This has been supported by recent efforts to expand and upgrade our network with FTTH, which now represents 65% of our homes passed. In mobile, we continue to grow our postpaid base as we drive prepaid to postpaid migration. Alongside Jamaica, Panama is another standout market for FMC, where penetration has expanded by 4 percentage points year-over-year to over 30%. Moving to the center of the slide and our revenue streams, which in aggregate drove our top line 5% higher in the quarter on a rebased basis. C&W Panama was the fastest-growing segment in our group this quarter in terms of revenue. Growth was driven by residential mobile, which is up 16%, while fixed grew by 3%, both on a rebased basis year-over-year. Mobile growth benefited from a larger subscriber base and pricing actions we took throughout 2024. Leveraging off the current market structures, we saw consolidation from 4 to 2 players in the past few years and subsequent market repair. Moving to Slide 8 and our third C&W credit silo segment, Liberty Networks. This continues to be a great business for us with exceptional U.S. dollar free cash flow generation. To provide some visibility of the underlying trends in the business, on the left side of the slide, we present revenue broken down by business lines. Wholesale had a very strong quarter with higher lease capacity and project revenue more than offsetting non-cash IRU declines. Adjusting for IRUs, rebased growth was 7% year-over-year. Enterprise continues to perform well, growing 4% year-over-year on a rebased basis, driven by growth in IT as a Service & Connectivity, especially in Colombia and the Dominican Republic. Meanwhile, we announced a contract with SubCom for the design, manufacture and installation of the MANTA subsea cable system. Its investments are within our CapEx envelope and provide opportunities for strong future revenue growth. Even with the P&E additions in the new fiber routes of MANTA in Q1, our adjusted OIBDA less P&E margin is still at an exceptional 36%. Turning to Slide 10 and our next credit silo, Liberty Costa Rica. Starting on the left of the slide, we saw continued quarterly broadband additions in Q1 in what is our most competitive fixed market, which helped to partly offset ARPU pressures. We continue to future-proof our network, and with our recent investments, almost half of our network is now on FTTH. In mobile, we were, again, successful in growing our base, adding 30,000 postpaid subscribers in the quarter. This was our most successful segment for postpaid adds in Q1, and once again, is reflective of our focus on FMC, which saw penetration grow 6 percentage points year-over-year to almost 35%. Moving to the center of the slide, consumer mobile remains our largest revenue category, representing over 60% share of our overall revenue in Costa Rica. This is followed by our consumer fixed business, representing just under 30% and then a small but fast-growing B2B operation. Costa Rica is our most competitive fixed market with 5 nationwide players; while in mobile, we compete against two other operators. We are taking the first step in consolidating the fixed market through our announced JV with Tigo. We still expect this to be closed in the second half of this year. Overall, I am very pleased with our performance and future prospects in Costa Rica and expect the integration with Tigo to yield even more growth opportunities and rationalization of the market. Next, to Slide 12 and our third credit silo, Liberty Puerto Rico. Starting on the left of the slide. In Q1, we lost 3,000 fixed broadband customers, though some impact was anticipated following our annual price increase for the fixed base. It’s typical to see a small churn response to pricing moves. However, this is expected to underpin future revenue performance. Turning to mobile. On postpaid, we continue to make progress in lowering churn. We have seen voluntary churn fall every month over the last 6 months to almost half the level it was in November. Gross adds, however, were a touch lighter in Q1 sequentially. Overall, progress in returning the business to positive postpaid adds is slower than we would like, though we remain focused on improving the trends in coming months as we refresh our customer value proposition and provide differentiated offering to customers. Across the group, we are focused on leveraging our capabilities with FMC solutions for our customers, and this is equally a goal for us in Puerto Rico, where we have a strong starting point through our best-in-class fixed and mobile networks. We are currently focusing, amongst other things, on new distribution channels, including our digital platform as the alternative source of incremental gross adds, to accelerate the growth of our FMC proposition Loop. In the center of the slide, we show the revenue mix in Puerto Rico and our overall year-over-year top line rebased decline, which at 11% continues to be a headwind for the overall group. To address the margin compression, we have begun a cost-cutting exercise to reflect the lower revenue of the segment. This focuses on headquarter staff and minimizing the impact of our frontline team. We expect the second half of the year to reflect a lower cost structure and the beginning of positive growth in postpaid. We also expect to complete the Boost migrations in the second half. With that, I’ll pass you over to Chris Noyes, our Chief Financial Officer, who will talk you through our financial performance before we take your questions. Chris?
Chris Noyes: Thanks, Balan. I’ll now take you through our financial performance in greater detail, starting on Slide 14. Q1 revenue was 2% lower on a rebased basis at $1.1 billion. We saw positive momentum in C&W Panama, Liberty Costa Rica and Liberty Networks, which was more than offset by a decline in Liberty Puerto Rico. In fact, our non-Puerto Rican operations, which account for over 70% of our consolidated revenue, grew revenue by 2% year-over-year collectively on a rebased basis. Turning to adjusted OIBDA, we reported a rebased increase of 8% to $407 million, with 3 of our 5 operating segments posting year-over-year rebased growth, including Liberty Puerto Rico. Supporting our growth is operating leverage, as Balan flagged. We have embarked upon a range of cost-out activities across each of our operations, and this has positively impacted our consolidated adjusted OIBDA margin, which increased over 300 basis points compared to Q1 2024. In the third chart, we highlight an important metric for us, which is adjusted OIBDA less P&E additions. We increased this by $47 million to $286 million in Q1 or 26% of revenue as compared to 22% of revenue in last year’s Q1. The year-over-year improvement is reflective of the higher adjusted OIBDA margin and lower P&E additions, which amounted to 11% of revenue in Q1. Moving to the last section. Adjusted FCF before partner distributions was $46 million better, resulting in a negative $103 million for Q1 2025. Combined with third-party distributions to our partners, our reported adjusted FCF was a negative $133 million. Our first quarter results are always impacted by seasonal working capital movements, in part due to the phasing of spend with our vendors. Slide 15 recaps our C&W credit silo results for Q1, which consists of C&W Caribbean, CWP and Liberty Networks. Starting with C&W Caribbean. We reported $364 million of revenue in Q1 with flat rebased growth. This was a result of 5% growth in mobile, offset by a reduction of 3% in B2B on a rebased basis. The main drivers of higher residential mobile revenue were higher ARPU resulting from price increases and postpaid subscriber growth, driven by our successful FMC strategy. B2B revenue was mainly affected by lower project revenue. We posted adjusted OIBDA of $173 million representing 16% rebased growth, largely fueled by reductions in indirect costs, especially with respect to facilities, staff, networks and commercial costs. As a result, adjusted OIBDA margin improved by over 600 basis points year-over-year to 48%. Next, moving to Cable & Wireless Panama. CWP generated $177 million of revenue and $65 million of adjusted OIBDA in Q1, reflecting 5% rebased revenue growth and 15% rebased adjusted OIBDA growth. Year-over-year rebased top line growth was driven by 16% growth in mobile and a 3% increase in residential fixed, largely as a result of subscriber base expansion over the last 12 months. This was in part offset by a 6% decline in B2B, primarily due to lower governmental projects. Adjusted OIBDA performance year-over-year was driven by the aforementioned revenue expansion and operating leverage. This led to an adjusted OIBDA margin expansion to 37%. Turning to Liberty Networks. We generated $110 million in revenue and $58 million in adjusted OIBDA, resulting in rebased growth of 3% in revenue and rebased decline of 2% in adjusted OIBDA. Top line growth year-over-year was driven by higher revenue in both wholesale and enterprise business lines, while adjusted OIBDA was impacted by higher network maintenance expenses, in part due to the costs associated with the cable cut and higher interconnect costs. Aggregating all three operating segments for the C&W credit silo, we generated $629 million in revenue and $296 million of adjusted OIBDA in Q1 for the credit silo. Importantly, these results reflect year-over-year rebased growth rates of 2% for revenue and an impressive 12% for adjusted OIBDA. Moving to Slide 16 and the Q1 results for our other 2 credit silos, Liberty Puerto Rico and Liberty Costa Rica. On the left, Liberty Puerto Rico, Q1 revenue was $298 million, reflecting an 11% rebased decline year-over-year. Residential fixed revenue declined 1% due to lower volume, driven by the discontinuation of the ACP program and lower ARPU due to retention discounts more than offsetting price increases. Mobile residential revenue declined by 16% on a rebased basis, driven by lower postpaid revenue, post migration. On the other hand, prepaid revenue remained stable during the period. B2B revenue declined 22% on a rebased basis, driven by lower mobile service revenue due to a decrease in the subscriber base impacted by migration-related churn, ARPU declines and the termination of the ECF program. Adjusted OIBDA grew year-over-year as we reported $82 million, which reflected a rebased increase of 16% as compared to Q1 2024. This improved adjusted OIBDA performance was mainly driven by costs related to our integration and migration efforts recorded in Q1 2024 and lower equipment, labor, interconnect and transition services costs in the current quarter. Concluding with Costa Rica on the right, we delivered Q1 revenue of $158 million and adjusted OIBDA of $59 million, reflecting 2% rebased revenue growth and a 1% decline in rebased adjusted OIBDA. Fixed revenue was down 7% year-over-year on a rebased basis, with volume growth more than offset by lower ARPU impacted by competition. Mobile residential revenue increased 6% on a rebased basis, driven by postpaid volume and equipment sales growth and B2B revenue was up 7% year-over-year on a rebased basis, mainly due to higher project revenue. Adjusted OIBDA declined slightly year-over-year due in part to higher equipment costs and an increase in bad debt. Turning to Slide 17. At the end of Q1, on a consolidated basis, we had $8.2 billion of total debt with a net leverage of 4.6x. Our fully swapped borrowing cost was 6.5% with a weighted average life of over 5 years. As of March 2025, we had roughly $600 million of cash on balance sheet and $800 million of availability under our revolving credit line. Continuing to the bottom left of the slide. The 3 timely C&W refinancings over the last 9 months, which we highlighted on the Q4 earnings call, have significantly improved our maturity schedule with about 50% of our debt maturing in 2031 and beyond. As it pertains to Liberty Puerto Rico, which has debt due in 2027 to 2029, we would target refinancing in mid-to-late 2026 as we provide the business with time to improve its financial results. On the right hand of the slide, we highlight our financing principles, which have been an important element of LLA’s corporate finance strategy since inception. Firstly, each credit pool is an independent ring-fenced capital structure with no cross guarantees or cross defaults. This approach enshrines the concept that each silo is self-standing and shields each of the credit pools from negative performance contamination from any of the other silos. We aim to maintain sustainable amounts of leverage in our businesses and we expect our silos to naturally delever through organic growth. Our medium-term leverage target is mid-3s for LLA on a consolidated basis. In addition, we like to run a long-dated maturity profile and are always monitoring the markets to take advantage of the best issuance window as possible, which we’ve been successful in accessing recently with Cable & Wireless. We run a hedge balance sheet, hedging both our floating rates and currency exposure when economically viable. And finally, we maintain a robust liquidity position with significant cash on balance sheet and committed revolving credit facility availability. With respect to our stock buyback program, we have not been active for the last 3 quarters and have roughly $240 million available under our authorization. We may look to be opportunistic as we return to our cash flow build cycle, which is always weighted to H2. Moving to Slide 18 and our conclusions. First, we had a very good start to the year with strong KPI performance on both postpaid mobile and broadband. This flowed through into robust financials, which led to high single-digit rebased adjusted OIBDA growth in the quarter. This was driven by standout performances in the C&W silo, where we recorded double-digit adjusted OIBDA growth. This was all supported by continued initiatives to reduce P&E additions intensity, helping to underpin improved trends in cash flow. In Puerto Rico, we are behind schedule due to the challenging migration in 2024 and a slower start to our recovery than hoped for in 2025. This is the principal reason for our decision to withdraw our 3-year guidance from 2024 to 2026 for LLA today. Our other operating businesses are performing largely as expected, but collectively not able to overcompensate for the 2024 deficit and the slower recovery in Puerto Rico this year. Notwithstanding, in Puerto Rico, we are seeing steady improvements in churn and have new CVPs in the market and are leaning into FMC, where we have seen such success across the group. We anticipate better postpaid mobile KPI trends in the second half of 2025. Additionally, we are pursuing an aggressive reduction in costs, as Balan highlighted, and expect these to positively impact our run rate performance in H2. Building upon the steps in Puerto Rico, we continue to be very constructive on the outlook for the group. We are maintaining a strong focus on cost out and P&E adds efficiency across all the credit cycles. We are positioning LLA for significant year-over-year growth in adjusted OIBDA and adjusted FCF before partner distributions in 2025. And with that, operator, happy to take questions.
Operator: [Operator Instructions] Our first question is from Vitor Tomita of Goldman Sachs. Your line is now open. Please go ahead.
Vitor Tomita: Good morning all and thanks for taking our questions. Two questions from our side. The first one is on Puerto Rico. If you could give us a bit more color on the competitive environment there, how aggressive competitors are being right now in terms of promotions and handset discounts in particular? And our second question would be on CapEx. You previously provided a guidance of – that was lowered to 14% CapEx in 2025 and 2026. Do you still expect that 14% CapEx to sales? And could you give some more color on how that might be distributed across regions? Thank you very much.
Balan Nair: Sure. Thanks for the question. I will answer your second question first on the CapEx. The CapEx of 14% is something that we will hit in ‘25 and ‘26. And it is quite equally distributed across the business. For many reasons, it wasn’t just by luck, that’s how it played out. It’s the level of maturity in all of our businesses where we are doing both our fiber-to-the-home upgrade and our mobile upgrades are reaching to about the same point. So, we are very confident on that 14%. On the competitive environment in Puerto Rico, essentially, on the fixed side, we compete with Claro. And on the mobile, we compete with Claro and T-Mobile. And of all the three mobile operators here, clearly, T-Mobile is the most aggressive on their handset subsidies. And that’s the case across Mainland USA, as well the promotions here in Puerto Rico are similar. Our view is that – and what we have seen is that they haven’t gotten any more aggressive than what they have been. And as a matter of fact, I think with all the tariff issues, people may dial it back a bit on subsidies, but we haven’t seen that either. Right now, the subsidy issue is not what worries us at all. We are doing pretty well there. I think what we need to do is improve on both our customer service and as well as our cost structure here in Puerto Rico. That’s what we are focused on.
Vitor Tomita: Clear. Thank you very much.
Operator: The next question is from Chris Hoare of New Street Research. Chris, your line is now open. Please go ahead.
Chris Hoare: Yes. Thank you and thanks for the opportunity as well. Can I just follow-up on the CapEx question, specifically in Puerto Rico? I think your CapEx there was down 30% on a year-over-year basis to sort of around 11% of service revenues. And I am just wondering if that is a sustainable level for Puerto Rico going forward or whether it’s going to trend back towards the kind of group average you talked about 14%. And then just following up on that, I appreciate you are still sort of a year, 15 months away from the refinancing in Puerto Rico. But I just wonder if you can say anything about whether or not you see the opportunity to use any of the assets within Puerto Rico to help build a stronger balance sheet as you head towards the refinancing.
Balan Nair: Sure. On the first question on the CapEx, the way we report the segment CapEx, it’s CapEx that’s actually spent by the local operating team here in Puerto Rico. We do have CapEx spent for Puerto Rico at the group level. As an example, our digital platforms that consume CapEx as well is spent at the corporate level, but allocated to Puerto Rico is being done for Puerto Rico. There are some other spends that we also do at the corporate level, like some of the centralized platforms on like our wireless core networks, etcetera, that are allocated outside of Puerto Rico, but really, it’s Puerto Rico CapEx. So, if I look at the overall CapEx for the year, Puerto Rico is trending closer to the mid to high-15% range. So, we are not under-spending in Puerto Rico. We are actually doing a pretty good job here, I think especially in the mobile network. As a matter of fact, as you know, last year, we bought the spectrum from DISH, and we are firing that up this summer and all that 600 megahertz spectrum gets put into the network. And that also requires CapEx. So, we are not shying away from that. On your second question on the refinancing, I am going to ask Chris to jump in here and give you some color.
Chris Noyes: Yes. I mean I think as I mentioned, the focus in the business today is to improve the operations and the financial results. So, we are best positioned in ‘26 and mid to late ‘26 to look to refinance the debt. Certainly, the work that we are doing in both the mobile and the fixed business should help crystallize value and improve the value of each of those businesses. And I think that’s the focus of the management team at this point.
Chris Hoare: Okay.
Operator: The next question comes from Michael Rollins of Citigroup. Michael, your line is now open. Please go ahead.
Jose Herrera: Hi. Good morning. Thank you for taking the questions. This is Jose Herrera on Mike Rollins’ team. First question was within the prior multiyear guide provided, how much of that growth was coming from Puerto Rico relative to the rest of the asset portfolio? And then secondly, if the Puerto Rico business needs additional funding, will Liberty Latin America fund the business from the parent balance sheet, or does Puerto Rico need to fund it within its own capital structure? Thank you.
Balan Nair: Sure. On the free cash flow, we are not breaking down the percentages for each segment in our business. Suffice to say, you can see from the operating results that the rest of Liberty Latin America is on fire. And so when we did the guidance a year ago, we did not anticipate some of the challenges in Puerto Rico and at least to the extent that we actually experienced it. And then when we got into the end of the year, we kind of indicated that because we had a lot of buffers in our free cash flow beyond the $1 billion, but it got kind of eaten up over the year in ‘24. And when we got into the beginning of the year, as we looked at our budgets, etcetera, we were very close. So, everything had to be priced to perfection, and we came out and said, you know what, we still think it’s right there. But then the – as the first quarter started to progress, we looked at some of the numbers and trajectory out the first quarter, the net add performance and we go, everything needs to be priced to perfection, and it’s not working to perfection here in Puerto Rico, not right now. We are still pretty optimistic in the second half of turning around a lot of things. But clearly, having that information on where things are at Puerto Rico, we decided, let’s pull the guidance. But I can tell you that the rest of our business and even Puerto Rico over time, it’s going to get – Puerto Rico is going to get better and the rest of the businesses are throwing off cash. You can see that in our numbers. And your second question around the capital structure. Listen, we have the silos for a reason. We paid up for the silos. And we are going to treat these all as separate credit silos. And the parent will decide strictly on the capital allocation methodology that we have in the Liberty Way. And then we will make decisions on funding, whether it’s a credit silo or funding a buyback or funding anything based strictly on how we look at the different opportunities in front of us. And I know I am being cryptic, but you should hang on to the fact that it is a separate credit silo, and we treat it as such.
Operator: [Operator Instructions] The next question is from Matthew Harrigan of The Benchmark Company. Matthew, your line is now open. Please go ahead.
Matthew Harrigan: Thanks Balan. I think a number of years ago, people were quite happy with how Puerto Rico was performing in the context of all the headlines on net migration and the debt issues and some of the political issues. And I know you can’t just do an econometric model on a country and figure out where our telecom business is going to fare. But when you look at Federal subsidies, given everything going on with the Trump administration and net migration and on the positive side, Puerto Rico has a very nice manufacturing base relative to some other – obviously, it’s a territory rather than the state, but relative to other U.S. states, how helped or hindered are you by the macro outlook in Puerto Rico? And I suspect you are not going to give a definitive number, but any sense for what you are trying to motivate your operating guys to achieve on a monthly EBITDA level aspirationally, even if it’s not guidance relative to where you were before? Thank you.
Balan Nair: Sure. Thanks Matt. Let’s start with the Puerto Rico macros. It is actually a good market. Competitively, like I said, 2-player fixed, 3-player mobile and very rational value and value creation type focused competitors. So, you want to be in a market like that. It’s all U.S. dollars, obviously. And if you look at the net population, it’s held steady. And it’s a robust great functioning state of the United States, even though it’s not formally a state, so all that good. Your question on back ‘21, ‘22, by the way, the FCCs we have – and AT&T, when we bought this business had a lot of FCC funding. And that slowly declined over the last 2 years, 3 years. It’s part of the revenue decline. Not all of our revenue declines happened because of mobile losses. There were a lot of FCC revenues that declined as well. And we are really, at this point, not too dependent on any government subsidies, even though there are still some kind of like the RDOF in the United States, it’s called Uniendo here in Puerto Rico. And so we do have some RDOF type funding, but we are putting in capital into those projects. So, in many ways, great market, great macros, great competitive environment, we are not too dependent on the government here, and the business is it is what it is today. Now, what could it be, with that kind of a macro environment, and by the way, we have the best mobile network here. You go anywhere, we have the best coverage. And like I said, we are going to fire up some 600 megahertz spectrum here in a couple of months. We will have even bigger and deeper penetration with that spectrum. We have the best fixed network. We consistently win on our fixed network. It’s 1 gigabit everywhere. It’s highly competitive product. And in fixed, we have pretty much a split market, 50-50, 50-40, something like that with us and the other guys, but we have a five-handle on our market share. In mobile, we have about 21% market share with a lot of upside. When we bought the business, it was about 26%. So, we lost some share. But remember, even at 26%, there is 74% of the island that we never served. And we haven’t even started our FMC here. So, there is some upside. And the reason we haven’t done some of that because we had some systems issues, and we needed to get our house in order before we can do some of these things. And the house is getting back in order. And so you can see good macros, good competitive environment, we have a great network. We need to fix some internal issues, and then you will start to see things return. We have internal guidelines. I am very – we are very transparent internally with our colleagues here. As a matter of fact, now, if you are an employee in Puerto Rico, you get the sales. Every day, you will see what we sold the day before. We are being – we are showing everybody the numbers. And I have a target for the management team here on monthly EBITDA. And we are focused on that, and we are focused on getting the EBITDA at the right place. As Chris pointed out earlier, it’s all operations. And if you get EBITDA at the right place, then by mid ‘26, you are sitting a lot better given some of the questions earlier on our debt. And that’s how we are looking at it. But like Chris said, this is an operational problem to solve for.
Matthew Harrigan: Apart from the FCC subsidies, which is – it sounds like it’s de minimis or not that big a deal at this point. Are you very concerned about the Trump administration withholding support for the economy of the island given how maverick Trump can be, I honestly don’t know how much Federal support there is to Puerto Rico, not on an FCC basis, but in terms of just upholding the general economy.
Balan Nair: We don’t see it here. By the way, the Governor of Puerto Rico is a strong Trump supporter. I am going to be visiting with them here soon. Listen, there is a lot of things with the Federal government that really I can’t predict here, and I don’t think anybody can. They will do what they need to do, but I haven’t heard anything officially or even unofficially other than rumors in the media about them wanting or not wanting to help Puerto Rico. We don’t see that on the ground. I am here a lot, and we don’t see that. Nobody talks about it here on the ground either.
Matthew Harrigan: Sorry, I just try to make you play Treasury Secretary or whatever. Thanks.
Operator: The next question is from Leonardo Curtidor of Scotiabank. Leonardo, your line is now open. Please go ahead.
Leonardo Curtidor: Hi. Thank you for taking my questions. I have two. The first, work-based compensation was up 26% year-over-year at $34 million. I was just wondering if you are expecting SBC for the full year to trend in line with Q1 and if there will be some buybacks to offset the new shares? Additionally, my second question, there was significant refinancing activity this quarter and average borrowing costs were slightly up to 6.5% from 6.2%. Do you have an estimate on cash interest expenses this year, considering that it was close to $620 million last year? Thank you.
Balan Nair: Yes. Go ahead Chris.
Chris Noyes: Yes. On the interest, the weighted average is higher. That reflects the refinancings. We did $3.3 billion of refinancing over the last nine months, including a couple of deals in Q1 on the Cable & Wireless credit silo. So, the average rate did tick up. So, that would be – as you think about interest expense impact, it would be higher on a year-over-year basis. But I would focus you as well to look at the swap portfolio. So, we are hedged on floating rate exposure. And you can factor that in beyond just the cash interest. There is an offset. And then as it relates to stock comp, we typically have grants happened in the first half of the year. And I mean what – how I would look at it is continue to kind of run it out, not dissimilar to prior years, okay.
Leonardo Curtidor: That is perfect. Thank you.
Balan Nair: The important part about the refinancing is really the tenor. And Chris and the treasury team have done a tremendous job pushing the wall out. Any other?
Operator: That will conclude today’s question-and-answer session. I would like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator and thank you everybody on the call. The business is doing really well. You can see it from the numbers. Now, we did hold guidance, and I know there will be a reaction to that. But I think it’s – this is important for us that when we look at stuff and as soon as we know it, we want to make sure our credibility is also strong. And I know to a certain degree, there has been challenges in our Puerto Rico business. And over the last year, it was very hard for us internally to predict some of the trajectory of that business. But we are getting – this is, we are getting a strong handle on everything here, and now we see things very clearly, and we see a very clear path as well. It is going to take time, though. We have to be patient. And in Puerto Rico, it’s going to take time. But you can see from the rest of our businesses, there was a time when Panama was not doing great. Cable & Wireless, the Caribbean Islands was not doing great. Any one of our operations, and we focus on it and operating-wise, we fix it, and they become really strong flywheels. And I see the same thing here for Puerto Rico. Yes, we got into a jam. We are going to get out of this jam, and we are going to really grow this business. And I am quite positive about that. So, with that, I want to thank you again for your support, and we will talk to you the next quarter.
Operator: Ladies and gentlemen, this concludes the Liberty Latin America’s first quarter 2025 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America’s website at www.lla.com. There you can also find a copy of today’s presentation materials.